Operator: Good day ladies and gentlemen and welcome to the HealthStream, Inc. fourth quarter and full year 2012 earnings conference call. At this time all participants are in a listen only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). I’d now like to turn the conference over to your host, Ms. Mollie Condra, Associate Vice President of Investor Relations and Communications. Please go ahead.
Mollie Condra: Thank you. Good morning and thank you for joining us today to discuss our fourth quarter and full-year 2012 results. Also in the room with me are Robert A. Frist Jr. our CEO and Chairman of HealthStream, and Gerry Hayden, our Senior Vice President and CFO. I would also like to remind you that this conference call may contain forward-looking statements regarding future events and the future performance of HealthStream that involve risk and uncertainties that could cause the actual results to differ materially from those projected in the forward-looking statements. Information concerning these risks and other factors that could cause the results to differ materially from those forward-looking statements are contained in the company's filings with the SEC, including forms 10-K and 10-Q. With that I’ll turn the call over to our CEO, Robert Frist.
Robert Frist Jr.: Thank you Molly. Good morning. I’d like to start this morning by highlighting a few financial metrics, and then we'll cover operational performance for the company, and then exciting new product updates and then after Gerry's financial comments, we are going to discuss our entry into the new market opportunity, the post-acute care market and so we look forward to discussing those topics with you in the next 20 or so minutes. From a financial highlights standpoint we had an exciting quarter. Consolidated revenues were up 27% to $27.8 million in the fourth quarter of 2012. They were up 26% for the full year to $103.7 million. Operating income was up 12% to $3.3 million in the fourth quarter of 2012, while increased 19% to $13.5 million for the full year. Net income was $1.8 million in both the fourth quarter of 2012 and 2011, up about 2% over the prior year quarter. On the operational performance metrics we have just many numbers, most of them in our release, but I’d like to highlight a few of them. We're pleased to report that over 350,000 subscribers were newly contracted to use our enterprise learning and talent management platform in 2012. This is up from last year where we added approximately 300,000 subscribers and we also turned in an exceptional and a strong fourth quarter, adding approximately 125,000 contracted subscribers in that 90-day period. This number, 125,000, exceeds our long-standing quarterly goal of contracting 20,000 to 50,000 per quarter. We continue our string of beat of that targeted range of adds every quarter. The total number of contracted subscribers is now over the 3 million marker, sitting at close to 3.1 million and more precisely at 3.99 million contracted subscribers. Importantly, we'll discuss our implemented subscriber number, which helps drive revenue. Over 365,000 subscribers were implemented to our platform in 2012. We now have 2.937 million healthcare users implemented; and again, that's important because that's when we began revenue recognition once these healthcare professionals are implemented onto the Learning & Talent Management platform. Approximately 68,000 subscribers were implemented in the fourth quarter and we currently have a backlog of approximately 160,000 in the queue for implementation. So we feel well positioned to having already had a strong selling season, to have such a strong Q entering the year that essentially helps provide additional visibility into our revenue streams in the future, as we implement the backlog of already sold subscribers. We had another strong quarter of renewals with rates above the 90% level. The renewal rates for the fourth quarter were 92% based on the full-time equivalents or the subscriber number and 96% based on the contract value. Our renewal rates reflect the addition of subscribers compared to the previously contracted months, combined with any pricing adjustments that may occur at the renewal. Also importantly, for the trailing four-quarter period ending December 31, 2012, customers representing 99% of subscribers that were up for renewal renewed, while our renewal rate based on contract value was 100%. And so you can see that the cumulative and four quarter trailing averages held strong. The fourth quarter wasn't -- there weren't as many renewals up during the fourth quarter and so the average over the four-quarter period remained very strong at 99% and 100% respectively. The product line update, there’s just many exciting things going on in product development and product launches. We've tried to launch our products with a certain cadence that allows us to get our feet grounded in service and support, and we just have a constant parade of new products. Those are very exciting years, looking back. At the end of the first quarter last year we launched the Performance Center and that product continues to perform well and pick up steam in the market. During the fourth quarter of 2012 we continue to expand our customer base for these two important talent management product offerings, the Performance Center and the Competency Center. Again, they are very similar products with a few differentiating characteristics that help manage the annual performance review or the ongoing maintenance of competence of hospital staff. The rate of new contracts signed in the fourth quarter more than doubled from the prior third quarter. In addition, we exited the piloting stage at a large health system and into the adoption phase after the successful determination of successful pilot with a large health system. So we feel even stronger about this product set, the Competency Center and the Performance Center as we enter into '13. For the full year 2012, we had approximately 4.3 million competency ratings entered into our system by healthcare professionals, which is exciting to me, because if I reflect back five and seven years ago, it feels like the early ramp period is on our learning platform, where we now complete over a million course completions every ten days; but it feels exciting to see this product get adopted and be used in the work flow, at a growing base of hospital customers. One of the more recent new regulatory drivers that's contributing to growth, and we believe will for the next 18 to 24 months has been CMS's decision to require transition to the ICD-10 coding. CMS announced that the deadline for this transition is in October 2014, and the transition to this new coding system, which affects how billing occurs, is a tremendous change for our industry, and HealthStream is well positioned to help our extensive customer base through this migration. We believe it will continue to be a steady driver for our training solutions into the foreseeable future. We partner with a company called Precise, who offers outstanding courseware for ICD-10 and we offer our hospital customers an effective means of training and preparing the workforce for this change. The content libraries we offer to our partnership with Precise, is appropriate for all hospital employees, including the coders, the physicians and the clinical staff, and the non-clinical staff for orientation around this new model and prices range from $30 to $250 per user, depending on the audience. We’ll be joining Precise at the exhibit booth at the upcoming HIMSS conference in New Orleans, and during the quarter we closed over 38 new contracts for ICD-10 in the fourth quarter, and that included several large multi-facility health systems. So very exciting product set around a high demand, a high need area, to help these large -- really, all health systems through this change, this new regulatory change, pending over the next 18 months. We continue to see strong demand for our HeartCode product suite. This product suite is focused on teaching multiple levels of resuscitation skills to healthcare professionals, and it’s offered through our partnerships with Laerdal Medical and the American Heart Association. In the fourth quarter approximately 120 facilities chose to purchase the HeartCode library’s content. So another exciting product area for us. We feel if we reflect back many years ago, when our regulatory compliance packages for OSHA began to set the standard and now over 50% of hospitals use our compliance package for that form of regulatory training, safety training. We now see the uptake in this form; resuscitation skills or required clinical skill for over 45% of hospital staff; it's a biannual requirement. We think we are setting a new bar there with our partners Laerdal and American Heart Association, in how people go about training in resuscitation. SimVentures is our collaborative arrangement with Laerdal medical. It’s a virtual joint venture, and together we developed a solution that makes adopting broader simulation-based training, more accessible to healthcare professionals. HealthStream earns approximately 50% or earns 50% of the profits from this collaborative arrangement. Laerdal medical is focused largely on the hardware components of this partnership, while HealthStream is focused on the software components of this solution set. And we believe that over time and consistent quarter-to-quarter, we are seeing increasing demand for this form of training and education. We believe it's going to prove very important to the future of improving quality and reducing risk in healthcare, and for a good reason, it allows healthcare professional to practice critical life saving procedures in a safe, repeatable environment that doesn't incur risk to patients, as these procedures are practiced on the manikins and through the software. SimVentures continues to grow the top line, delivering its seventh consecutive quarter of growth in revenue, and in the fourth quarter HealthStream's revenue from the arrangement was up 36% over the prior year quarter to $483,000. And for me and for our team it's exciting to see emerging product growing at a faster rate than even our core product, pulling the average up for our top-line revenue growth rate for our learning and talent development solutions. The collaborative arrangement remains EBITDA positive, so it's also important as we launch a new initiative into the long-term post acute care market, that we explain to our investors and shareholders that when we launch these ventures we nurture them very carefully and develop them to a strong state of readiness, and in this case cash flow positive before we launch a new initiative. In this case I’ll be talking for a few minutes about our long-term care and home health; what we call the post acute care initiative, we've just announced yesterday with our release and this morning. The survey business update is performing better for the full year. We had a record number of surveys completed, approximately 1.6 million. It's up about 6% over 2011. The importance of HCAHPS scores, this form of required surveying again as a regulatory driver component for healthcare providers is that its directly tied to CMS's value based purchasing program, where approximately 30% of the Medicare reimbursement rates will be based on the survey scores. So there is again the theme of a regulatory driver underneath this core HCAHPS survey business. The payment effects have already begun with patients discharged in October 2012, so we're beginning to see the payer per performance model become a reality in Healthcare as of October 2012, and of course we play a critical role in supporting our customers in meeting these required HCAHPS surveying needs. In the fourth quarter we extended that product line. HealthStream became fully certified in the CAHPS Patient-Centered Medical Home as a certified survey vendor by the National Committee for Quality Assurance or NCQA. We're one of 22 vendors certified for 2013, and the NCQA vendor certification enables us to support medical practices and provider groups that are seeking NCQA's PCMH recognition program; the NCQA's distinction in patient experience reporting designation. Praxis used the NCQA certified vendors to identify eligible patients, survey patients and report results to NCQA. I’d like to take a brief break here and turn it over to Gerry for a discussion regarding our financials, and then I’ll come back around and talk about the exciting new launch of our post acute care strategies.
Gerry Hayden: Thank you Bobby and good morning everyone. I'll give a few financial topics and then we'll save some time for questions at the end. There are two compelling points about lever (ph) performance in the fourth quarter and the full year of 2012. The 33% Learning & Talent Management growth rate for the quarter was driven largely by our core sales, which is our sales force selling the current product offerings and some of these you heard Bobby just mention. It’s also quite rewarding to report the Q4, 2012 research growth rate of 11% and 2013 research revenue guidance in the 8% to 10% range. Our resource sales force in particular, along with our entire research team, deserves much credit for turning research back into a double-digit growth business for us. The results in both segments indicate how we’d successfully apply our tradition of core sales growth to the post acute care market entry that we announced in yesterday's release and Bobby will discuss in more detail here in a few minutes, and I am excited about the launch of this new growth initiative for us. At year-end 2012 we remain well capitalized with a strong balance sheet. We have $93.3 million in cash and marketable securities and an untapped line of credit of $20 million. We discussed some areas where we may incur expenses to pursue investments in the earnings release. We mentioned mergers and acquisitions, joint ventures and partnerships and acquired project integration and innovation. During 2012, we estimated that our expense in these efforts was about $678,000. Two-thirds of that amount or $435,000 was incurred in the fourth quarter of 2012, and the math turns out to be roughly a full $0.001 per share after tax in the quarter. In addition to gauging outside resources for these efforts, we are also starting to incur expenses internally by (inaudible) resources. Our in-house Vice President and General Counsel position has been expanded to include business development, asking for extensive experience in this area having played a key role in over 15 mergers and acquisitions prior to his employment at HealthStream. Another Vice President of HealthStream recently transitioned to a new role assuming the leadership of our integration processes following acquisitions. Strategic fit and business principles outlined in our HealthStream constitution remain primary drivers in the investment and decision process for us. One of those business principles we consider are solving big problems, generating recurring revenue, developing product based solutions and leveraging our position. We'll be investing in the integration enhancement of our new products and capabilities, gained through acquisitions we completed during 2012. This includes our patented portfolio tool, decision critical and our credentialing application from the Sy.Med development. We’re also making improvements in investments, adding capabilities to our existing platforms. So for these foundations of strength, core growth sales performance, operating cash flow and readily available capital, we have announced our post acute care market entry, the success of which we believe will build on the way HealthStream has historically performed. Our 2013 guidance reflects these themes and trends of continued strong core growth with ranges between 20% and 22% over full year 2012 results. This guidance includes what we expect from both our Decision Critical and Sy.Med acquisitions, but does not assume any other additional transactions. We expect operating income to grow between 6% and 10%, which does reflect our investments in the post-acute care market we discussed, as well as other product development initiatives and sales force expansions. We anticipate our capital budget for 2013 will range between $9 million and $10 million, and finally we believe our effective tax rate will also range between 42% and 44%. Thank you. I will turn the call back to Bobby.
Robert Frist Jr.: Thank you Gerry. So we are excited to kick off 2013 with over 3 million contracted subscribers to our platform, and it's also exciting for our company to celebrate crossing over the $100 million in revenue mark and so we have lots to celebrate about the prior year. One of the ways that we are driving growth is by investing in our sales organization. And we thought instead of waiting for the K, we would give you a little insight into that. At the year-end of 2011 we had 61 quota carrying sales reps, and by year-end 2012 that number had increased to 76, which is over a 20% growth in the size of the quota carrying sales organization. We also expect that before the midpoint of this year, we’ll add an additional 10, which includes some of the newly posted positions to launch our post-acute care strategy, which should be on our website as of right now. So we are very excited to see one of our core strengths is our ability to get products into the hands of customers that help them solve big problems and generate recurring revenue for our business. We are very excited to see that constant investment in growth, of what we believe is a very, very strong sales operation, and so I want to comment a bit on the acquisition of Sy.Med. We feel that it’s an important advancement to our talent management strategy. We added the innovative credentialing applications. Credentialing for us we feel is part of this talent management spectrum that will be largely overlooked by other talent management industry competitors, because of its uniqueness to healthcare. The process of credentialing healthcare workers and privileging them, giving them access to provided care in facilities is a unique dimension of the human capital management side of health care and we've decided to make our foray into that, through the acquisition of Sy.Med development. They are a leading developer of credentialing related software products, and they serve a broad set of healthcare clients who use the application for approximately 234,000 physicians and healthcare professionals, which includes professionals from over 115 hospitals and integrated delivery networks. So we are excited to see this product continue to grow and over time we'll be working on how that product integrates with our broader talent management strategies. And I'm pleased to tell that you that the Sy.Med product sets and teams were recognized as a gold certified partner for Microsoft in the fourth quarter, and this marks the seventh consecutive year that Sy.Med has achieved this distinction. To earn a Microsoft Gold Designation, organizations must complete a rigorous set of tests to approve their level of technology expertise and demonstrate their delivery of outstanding service to clients. So I wanted to take a moment to congratulate our Brentwood team out of the Sy.Med organization for achieving the Microsoft Gold Designation. So now I’ll turn our attention to the new driver of growth. Two or so years ago we announced our virtual joint venture with Laerdal Corporation and so we are several quarters into the growth of that growth driver. At the end of the first quarter last year we launched our performance center, expanding our talent management platform and we are approximately a year past that launch date and we are seeing a doubling of the rate of sales closures just during the fourth quarter over the prior third quarter, so we feel very good about those investments. And now after much discussion with investors beginning as far back as November ‘11 we raised fresh capital in the marketplace. We talked about launching a new tangential, but highly related market opportunity to post acute care market and so today is that day. We are focusing initially on long term care facilities and home health agencies, because we believe they are most correlated, closely correlated to the accountable care needs and the way organizations are now, acute care is organizing with home health and long term care to provide a new accountable care model. And so we are very excited to officially put our stake in the ground and begin the launch of this strategy with the hiring of new employees to help drive specific expertise in this area to drive growth. Importantly, the market for post-acute care adds about 3 million healthcare professionals to our target audience and for our broad suite of Learning & Talent Management products. We feel we have a very complete set of products that take into that market and we are looking forward to a warm reception from that market as we make investments in this area over the course of the year. You should note that we already have some customers in this space. We’ll be organizing those customers now. It’s important to communicate to them our dedication to this vertical, and the way we are going to build out this vertical is by similarly building an echo system of partners, both content and technology that provides the unique needs of that market, and so we have several exciting announcements pending in the first half of this year regarding the growth of our post acute care strategy. And so our market opportunity, now we will be defining as a set of the $5 million or $5.5 million, depending on whose numbers you look at, a potential healthcare professional in the acute care space. We added an additional $3 million to that number by adding on our focus to the post-acute care market, again with initial focus on long-term care and home health. That brings the total target market for our portfolio of services and solutions to approximately $8 million. So with much energy and excitement, we look forward to the launch of this strategy. Again, we think it’s been a thoughtful entry strategy, and we hope to find great support from our investors and shareholders as we kind of announce this third important growth strategy kicking off this year. As a follow-up to a few years ago, the move into the simulation and last year the move into performance management; this will be our move this year into the post-acute care strategies. I would like to take a moment and turn it over for questions from our analysts and financial community.
Operator: (Operator Instructions). Our first question comes from Jeff Garro of William Blair & Company. Please go ahead.
Jeff Garro - William Blair & Co.: Good morning guys. Congratulations on a nice quarter.
Robert Frist Jr.: Thank you.
Jeff Garro - William Blair & Co.: I want to start off with a few questions on the post-acute care space and that launch. So first I just want to see, it looks like not much hiring has been done yet, but maybe some of your current staff has been shifted over. I just wanted to check on the kind of early progress there.
Robert Frist Jr.: Yes, we do plan – we’ve identified an internal sales leader to help with that, and of course the senior executive team has been in the planning process. We’ve been organizing our databases to know which accounts in our current base kind of reflect this strategy. So I would say a little bit of traction has been made there, and we feel that we have a very good roadmap of partners and products and some account acquisitions lined up for the first half of this year. So we hope to have some exciting announcements here before the midpoint of the year.
Jeff Garro - William Blair & Co.: Good to hear. So just more financially oriented, when do you think during the year that will you hit kind of a full run rate of expenses for this launch?
Robert Frist Jr.: Yes, so that’s reflected in our guidance, but it’s a fair question. I don’t know if we really “we provided that information by quarter.” And one of our challenges in the past has been hiring, as you can see from our website, we try to direct everybody there. We have quite a few opened positions in all areas, including sales and now this market, so I don’t know. I mean we like to do things well and you can see some leadership positions posted for this vertical. So we plan to take our time. So it certainly won’t be in the first half of the year. It would be in the second half of the year, maybe towards the end of the third quarter, as we increase our hiring plans and our launch strategies. And remember, our plans include some increase marketing budgets to get out with this message and bring on new partners, and so I hope that helps directionally. We haven’t really quarterized that part of our guidance though.
Jeff Garro - William Blair & Co.: No, that’s very helpful color. And I just want to check, because of internal launch of the post-acute strategy, is that going to be mutually exclusive with any M&A activity you might have previously considered in that space?
Robert Frist Jr.: No, not necessarily. As we’ve noted in this release, you can see a considerable shift of resources towards those efforts, which I would include in this area. There could be unique technologies or platforms or partnerships that could turn into joint ventures or investments and so, no, it will not be mutually exclusive. It might be supplemental over time. We’ll take our time and process those opportunities, but I would not exclude opportunities in that space, just because we’ve launched an organic strategy. We might find really good compliments on how to help that vertical grow as well.
Jeff Garro - William Blair & Co.: Great, that’s helpful. And a couple more on the post-acute care space. You mentioned it in the release and I think you also said on the call that you are looking to build that content ecosystem for post acute, but I wanted to dig into see how much of your current HLC content is transferable and how much more incremental content needs to be built up or aggregated through new partners?
Robert Frist Jr.: Right. So the core regulatory library, we have a base library that we’ve maintained over time. It needs more development investment than the regulatory safety library, so we have a long-term care library. It’s very basic. It needs to be enhanced and improved, but that’s a good starting point. We’ll need to strike out and build relationships with the associations specific to that area, and as we’ve done in the acute care space, as we on-board partners, some of our early customers we hope turn into strategic partners that help with the publishing of field-specific or topically specific content, and so that’s always been a way that we help build the acute care space. We hope to see some of that in the post-acute and long term care space.
Jeff Garro - William Blair & Co.: Great, great. And my last one, and I know it’s rather early for this, but any initial thoughts on how price will play out in the post-acute market versus your core acute care space?
Robert Frist Jr.: Yes, it’s interesting. From our study, we believe that some of the competition in that space, the price points are actually higher than our acute care, and that our platform is more complete from a standpoint of features and capabilities. So we believe we might have some room to have at least an equal if not a slightly higher price point and still be below some of the smaller competitors in the space. They are larger in that space, but smaller overall. And so we think we have a really good mix to help us enter the market, where we have a more complete technology platform and we can enter the market with a lower price to competitors, but potentially a higher price than our acute care market space.
Jeff Garro - William Blair & Co.: Great to hear. Thanks for taking the questions guys.
Robert Frist Jr.: Sure.
Operator: Our next question comes from Matt Hewitt of Craig-Hallum Capital. Please go ahead.
Matt Hewitt - Craig-Hallum Capital : Good morning. Thanks for taking my questions and we wish you success as you move into this new market.
Robert Frist Jr.: Thank you.
Matt Hewitt - Craig-Hallum Capital: I guess a couple of questions on the new opportunity, and then a couple of other items. First, will you be using the core HLC platform as you move into the post-acute care market or are you going to be launching a whole new platform?
Robert Frist Jr.: Well, thanks for helping me clarify that, Matt; that’s important. Of course, it will leverage our core platform and technologies that we put quite a lot of time into building. They are highly scalable, and we believe extensive to this market. In some areas like reporting, we‘ll need to customize some of the data output to make sure we meet the unique needs in this market space, but the core platform and even the competency and performance areas where we’ve been building out some competency dictionaries to support this vertical, we think are very leveragable into this space. So most all of the core technologies we think or we know will be utilized and leveraged in this launch.
Matt Hewitt - Craig-Hallum Capital: That’s great to hear, that you are not starting from the scratch there. Secondly, you’ve been kind enough to break out I think the overall market opportunity is 5 million employees in the acute care and 3 million in the post-acute care market. I know that you do already have customers in the post-acute care market. Going forward will you provide traction split up between those two markets? So the way that you've done it already for the HLC as far as the number of contracted and fully implemented customers, will you do the same thing for this new market going forward?
Robert Frist Jr.: Yes, so we will and we are going to – its going to take us a quarter or two to get our heals down and get our initial starting point, but I think that’s a fun way to start. When you start, you kind of start with the base and you build it up and show what you can do. It will be harder to have the same steady stream of growth initially in the first 12 months, like any new product launch, and so I ask for a little bit of forgiveness in advance. But yes, we do plan to report and segment some of the data here, so you can get some good visibility into our progress in these areas.
Matt Hewitt - Craig-Hallum Capital: Well, that will be great and we look forward to that. I guess a couple of more questions and I’ll jump back in the queue. Gross margins ticked up here in the fourth quarter; obviously that’s good to see. Do you anticipate that as you are adding more and more of these platforms, getting into new markets, that we could see that tick up over time or is it going to kind of be steady state, 58% to 60% gross margin going forward?
Robert Frist Jr.: I think we see a more of a steady state in that. Even though we see growth in all areas, the content growth has been fantastic with new drivers like ICD-10 and the Laerdal products, the product sets, the HeartCode product set. But excitingly in the fourth quarter and much of this isn’t implemented yet, but we see a doubling of the rate of selling our competency in Performance Center, and so again we haven’t given specific numbers there, but I think we said in the third quarter we did at least one new facility a week during the third quarter and I think we’ve just now more than doubled in the fourth quarter and so that is a higher gross margin revenue as we get to implementing those customers. The implementation cycles on the Performance Center and the Competency Center are a little longer than our highly refined implementation process for the learning center, but again, that’s in front of us. The revenue streams for that which are higher and owned and self-developed products that have higher gross margins in front of us. So we right now are kind of predicting the blend of those things creates a fairly steady state in the gross margins, although it’s just a relative dynamic between the growth and content sales in the growth and platform sales.
Matt Hewitt - Craig-Hallum Capital: Okay, okay. Maybe one more from me and I’ll jump back into the queue. As you mentioned, moving into the post-acute care market is something that you’ve been talking about for a while now. Was there something that prompted the move in 2013, either from just a general comfort level with the market, given your relationship with Corridor Group and some of the other opportunities that you have to kind of work your way into the market or was there something from a competitive dynamic? What prompted the move I guess here in 2013?
Robert Frist Jr.: No, no, I think it’s just more of management’s approach and timing to launching new investments and announcing them. We’ve tried to sequence things and make sure we have our feet on the ground with prior announcements, and that’s been our history as I’ve tried to articulate two or three of those sequentially, with the first one being the SimVentures which is cash flow positive and growing quarter-to-quarter. The second being the performance center you can see finally in the fourth quarter, a meaningful uptake of that product in the rate of its uptake, and we get comfort with the implementation and visibility and its growth, and so the time seemed right for us, to our plan. And we always also mentioned the fourth quarter as our planning season, and so we go through with our greater executive team and board, the process of deciding when to announce new initiatives. We’ve tried to give several quarters of indications and warnings about increased investments and getting the market ready to understand that deploying all this capital we’ve raised is just as much a challenge as building and launching new products. And we think it’s the right time now to launch this new market. So it is more of a cadence and a timing against other strategic initiatives than anything in the market that presented itself.
Matt Hewitt - Craig-Hallum Capital: Great. Thank you. I’ll jump back in the queue.
Operator: Our next question comes from Vincent Colicchio of Noble Financial. Please go ahead.
Vincent Colicchio - Noble Financial: Yes Bobby, you continue to grow rapidly with the HLC and the hospital market, you are entering a new market here. Do you need to adjust your quarterly growth goal for the HLC, given the market expansion and recent results?
Robert Frist Jr.: You mean the 20,000 to 50,000-subscriber goal?
Vincent Colicchio - Noble Financial: Yes.
Robert Frist Jr.: I think I’m going to leave – I mean we’ve been exceeding that now for so long, it might need adjustment. Although I’ve always felt that that is a good solid rate to communicate, and of course we’ve been exceeding it. I think for now I’m going stand by that rate. Clearly the floor of that, we haven’t had that experience of 20,000 or below in a long time, so we hope not to see that number. So maybe we can chop the bottom off just a little bit, but I think I’m going to give us a couple of quarters. As you can see, we’ve just begun hiring processes and the acute, post acute launch, and before we put any new numbers up and promises, I think I want to get our feet on the ground a little longer and then we’ll consider. But right now I’m going to stick by that 50,000 target.
Vincent Colicchio - Noble Financial: Okay and on the ICD-10 side, as you know, many physicians continue to lobby for another delay. Is your ICD-10 related business large enough that if there was another delay that that would have a meaningful impact on your business?
Robert Frist Jr.: Maybe restate that. So you mean the ICD-10 migration dates?
Vincent Colicchio - Noble Financial: Yes. If there’s another delay in the implementation date, would that have a negative impact on your business?
Robert Frist Jr.: Yes, I think it’s such a growing area that it probably would. However, I would say that a lot of our bigger customers are making commitments now. They don’t want to be caught behind the curve and they see it coming, and so we had an incredibly strong fourth quarter in that particular product set, and those are signed and executed contracts. So we have quite a lot of visibility now into at least the 2013 growth as already represented by executed contracts, and both largely in the fourth quarter, believe it or no, it’s a very strong fourth quarter. So maybe if there was some delay announcements, it would start to affect the fourth quarter and the first quarter of the next year. But a lot of the growth for this year is already under contract.
Vincent Colicchio - Noble Financial: Okay. My other questions were asked. Thanks Bobby.
Robert Frist Jr.: Thank you.
Operator: Our next question comes from Frank Sparacino of First Analysis. Please go ahead.
Frank Sparacino - First Analysis: Hi guys. Bobbie or Gerry just following up on the ICD-10 question, is there any way you guys can sort of define the impact that it’s having today, than if you just look to the particular contract in terms of how much of the ICD content people are subscribing; (a) in terms of the reach as well? I’m just trying to get – it’s not only a gradual progression for you guys in terms of the small market, but a gradual progression in terms of the healthcare organizations.
Robert Frist Jr.: Yes, so just a couple of things about that. First, we feel we have just a fantastic partner in precise. They have incredibly high products. They’ve designed their product sets to help educate the entire workforce. Of course, a focus on the coders, but everyone needs awareness of these changes. They are so material to the revenue recognition of the hospitals that officers, everyone needs orientation. So the first thing is that the libraries that we are re-selling, are we believe the most comprehensive available in the industry built by precise, and we’ve been meeting with their CEO and President to talk about how to make these products more about maintaining competence of the work force over time, even post the deadline. So the second comment is that we are seeing as I mentioned, incredibly strong fourth quarter and most of these contracts are one or two year long contracts for people that are getting ready for this deployment and a lot of that is already in place. And so our concerns around this product of course will begin in October ‘14 or if the date moves, because this does have the effect of kind of this hard deadline has effect of kind of a bolus effect. And replacing that revenue in two years from now will be – we are already a focus of discussion in our management team, because we are seeing such success in the traction of it. So what I would say Frank is we are seeing broad based adoption. The reality of the deadline has hit all of our large system clients, and they are beginning to make investments to be ready, and we think we have great visibility into the next minimally 12, but potentially 18 months of growth in this product set. Already shifting our concerns to kind of the 20 month on, on how to sustain and in regard to that, we do believe there is a sustainment play of confidence that at the end of the migration date or the hard deadline is just the beginning of the problems. We still have to have kind of a certified or a credentialed workforce in this area, and its going to take more than the 18 months to get everyone comfortable with this new system. So I hope that’s enough color and commentary help. We are really excited about the opportunity. We think it will carry us another 20 months or so as a growth driver for our company.
Frank Sparacino - First Analysis : Thank you, Bobby.
Operator: Our next question comes from Terry Lally of Spotlight Funds. Please go ahead.
Terry Lally - Spotlight Funds : Yes, hi. Can you be more specific on the post-acute care market entry impacts and 2013 guidance?
Robert Frist Jr.: Well, we have a lot of pieces as you may have seen in our guidance that we think affect the overall guidance, and so we haven’t broken out in great detail. The one thing we have done is as of this morning, posted four or five brand-new positions of leadership and sales and marketing and market development for that market. So one way to think of it is to try to estimate an average cost per employee and the time to hire those employees. But other than that, which we think is fairly specific guidance about the personnel investments, which as you know is a meaningful part of our overall cost of running our business, we haven’t broken out any. We’ve also called out our investments in trying to organize a team of people in our company to deploy our capital through M&A joint ventures and investments in product development. And so we try to break out those two areas and give some specificity on it. So I don’t have anything more to add to the impact of that, but I would point you specifically to watch the hiring on our website. It will be very reflective of our investment in the acute care space.
Terry Lally - Spotlight Funds : So we can forecast the hiring investment in personnel, that should sounds like it would be more of a first half drag, time to get the sales people up, ramped, building the pipeline. It sounds like it’s going to be a second half, probably the back half of the year before it translates into revenues. What about revenues in this area? It sounds like you have a few customers that are ready to be in the launch kind of period, but what’s included in the revenue guidance from post-acute care?
Robert Frist Jr.: I would say really minimal expectations. As we get towards the fourth quarter, we hope like every new launch to have some impact, but you also point out correctly I think and characterize correctly kind of the sequencing; beginning in the third and fourth quarter we’d also have expenses like the marketing expenses as we get the people hired and begin to launch our efforts and go to specific trade shows and things like that. So, I think you’ve really done a nice job characterizing it and I would view this first year as the launch year, and the year of investment. Those investments will probably continue on, because obviously you can’t run a whole group with just the five hires we posted today. So if we see the IRR coming in on those initial sales positions, what we’ve done in our acute care space is you can tell from the numbers I gave you, we’ve added to the sales teams as quickly as we can essential cash flow them, and some of the shortest term investments that cash flow in IRR are sales personnel compared to of course JV’s which can take two years and acquisitions can take two years. Organic launches tend to take longer as in this one to get your IRR, but they certainly are organic and ultimately have the highest return for shareholders. So this will be a longer process for us, but we like to go in and commit in that. And I think you've done a great job characterizing the launch plan and the cost associated with it.
Terry Lally - Spotlight Funds : So if it’s only, just say a handful of positions, you are in the building kind of pilot period here; the overall guidance, the 6% to 10% operating growth on 20% to 22% revenue growth, we are not getting the operating leverage this year what had in the past. What’s causing that? Is it the other acquisitions or other investments? Historically we’ve seen operating leverage in the business greater than revenue growth, and it significantly lags next year.
Gerry Hayden: Right. One of our challenge is of course that we have all this capital and literally dozens of ideas and launches and products to build, and of course investments in building those are in personnel or development teams are expenses that are incurred largely in the year that you incur them. So one of our perpetual challenges is deploying the capital into these initiatives here that’s very focused on long-term care and given that capital on a place where it has higher IRR than the cash, that’s into the $93 million and balancing that against operating income leverage and growth. And so this year it’s probably fair to characterize that we are actually targeting 10% operating income growth, our 6% to 10%, not that that’s the best that we can do, but that we are trying to flow our kind of available investment dollars back into this capital allocation and expense strategy we just talked about, which includes M&A expenses. So in order to complete M&A, we have now real people dedicated to that process full-time and with the challenge of deploying the capital and the effective M&A strategy and shifting staff into that has an increased cost, which is a bit de-leveraging. But ultimately, I expect that team to be successful and deploying that $93 million in cash into higher IRR projects, so that’s one example. Of course the other we mentioned is the sales force growth. They typically have a 9 month to 12 month time to get up to speed and up the quota, and you can see from our ‘11 to ‘12 growth, 61 to 74 or 76 that we just consistently add to the sales organization, which again is a bit, in the short term de-leveraging of operating income, but certainly we are excited about where that puts us 12 to 24 months out. So in a lot of cases we are kind of asking the market and our investors and shareholders to understand that there will be costs to deploying the $93 million, but I think we have a good, long track record of deploying into higher IRR projects, and we are trying to get as much clarity about our cadence to those investments as we can.
Terry Lally - Spotlight Funds: Okay. So it seems like the 150 basis point margin degradation is primarily attributable to the sales force post-acute and M& A expenses.
Robert Frist Jr.: No, I think the gross margins are more reflective of the product mix of what’s sold, and so it’s a relative race between when we sell content at lower gross margins and when we sell platform it has higher gross margins, and our blended gross margin kind of reflects a relative growth rate of those two items. And so our content has been performing very strong, had lower gross margin and I think our gross margin lines are most affected by the mix of products.
Terry Lally - Spotlight Funds: Its now going into operating margin, because it looks like in taking your guidance that operating margin will decline about 150 basis points next year.
Robert Frist Jr.: Yes. So I think their sales force growth, new market launch, marketing, think of marketing expenses in the third quarter for launching this market, going to more trade shows so you will have the traditional investments that run parallel to launching the new market.
Terry Lally - Spotlight Funds: Okay, thank you.
Operator: Our next question is a follow-up from Matt Hewitt of Craig-Hallum Capital. Please go ahead.
Matt Hewitt - Craig-Hallum Capital: Thanks for taking a couple of follow-up questions. First, the research business has stabilized nicely here. Particularly the other surveys, the physician, employee and community-based surveys were up 4% in the fourth quarter. Do you think we’ve crawled out of the difficulties and the challenges that that market has seen, where we could see that slow growth continue or is that going to continue to be lumpy?
Robert Frist Jr.: Well, I think you can see from our forecast, it hasn’t surged up to a 20% growth opportunity yet, but we like seeing that we are targeting the double-digit growth. We are seeing a lot of exciting developments. The post-acute strategy for example support our research business, because the HHCAHPS which is the CAHPS requirement for home held providers can be sold in parallel to the strategy. So we see some leverage opportunity from the HHCAHPS survey capabilities we not have aligning with our post-acute strategy launch. And so we see some new drivers in there that we are excited about and continue to invest in the product set to expand them, and so we are working our hardest to get that back on a growth trajectory. By its nature though, components of the research business are lumpier as you’ve said. The employee surveying business, it can be seasonal and customers can change their commitments to the frequency of that kind of surveying, which can affect the revenue model there and be lumpy. But we continue to have a lot of belief in the growth opportunities in that area and excited about things like the HHCAHPS surveys aligning with our post-acute strategy launch.
Matt Hewitt - Craig-Hallum Capital : All right, thank you. And secondly, contribution from Sy.Med and Decision Critical in FY ‘12, just so even if it’s just a ballpark on a percentage of revenues.
Gerry Hayden : Matt, this is Gerry. I would say that they both performed very well to our expectations, but the impact on the year has not been quite that big. They are just much smaller to the overall core business.
Robert Frist Jr.: Because of that deferred revenue? You want to comment on that?
Gerry Hayden: Yes, well that’s one, we can talk about that too. First of all the overall size of the business is quite a bit smaller than the core business, but also we had the discussion in the press release about the deferred revenue accounting at the time of acquisition. And so what that is to keep it relatively simple, we have to write down or discount the beginning balance of deferred revenue, which means the revenue we recognized post-acquisition is not quite the same as it was beforehand for accounting purposes, and so that has an impact on what’s called the accounting contribution for both DCI and Sy.Med in the course of 2012. But they are relatively small compared to the overall business right now. They will grow, but relative size is different.
Matt Hewitt - Craig-Hallum Capital: Okay. Yes, I was just trying to back into maybe an organic growth rate. Obviously last year was a great year, but I was just trying to think, was it a couple of million dollars of your growth was from these acquisitions or was it even smaller than that?
Gerry Hayden: Yes, I think I would go back to my comments, the vast preponderance of the growth in ‘12 is core growth.
Matt Hewitt - Craig-Hallum Capital: Okay, that’s good to hear. And then lastly from me, as you move into a new market, obviously it’s been a challenging market I think to find qualified top-notch employees, whether it’s in the sales and marketing side or the R&D side, new engineers, what have you. As you move into a new market, what are your expectations about finding the right people for HealthStream?
Robert Frist Jr.: I think the market development expertise, and people with knowledge of that industry and the sales teams will be somewhat easier to find than for example the challenges we’ve talked about in hiring our technology teams here in Nashville, the actual programmers and developers. So that remains a consistent challenge in front of the company. And probably one of the variables that can increase or could give us out-performance to our guidance would be essentially the inability to hire at the rate we want to hire. And so we really are working hard to hire at the rate we’ve planned, so we can get the staff in here. But I would say the hiring associated with the vertical launch will be considerably easier, and we expect to be able to fulfill the positions in a timely manner than the types of hiring related to our technology development platform, for example. So I hope that helps.
Matt Hewitt - Craig-Hallum Capital: It does, and I’m glad to hear that you’ll find that a little bit easier. I know that the whole industry appears to be struggling, especially on that development side, finding qualified employees to bring into the mix. So I’m glad to hear that. Thank you.
Robert Frist Jr.: Nashville is a very strong city from the operator side of healthcare, and so the provider side and the post-acute side and we have very strong organizations here that have deep, deep talent pools and we don’t need 200 people. We need here; we’ve identified four or five key players. And so Nashville is a very rich community and deep in knowledge in how these markets work, and so we feel comfortable to find excited and energetic expertise into the launch of this market.
Matt Hewitt - Craig-Hallum Capital: Very good. Thank you.
Operator: (Operator Instructions). I’m showing no further questions at this time and I’d like to turn the conference back to Mr. Robert A. Frist for any closing remarks.
Robert Frist Jr.: Thank you. Well, we are excited to have the announcements we have done today. We are proud of our teams and organizations and I look forward to reporting our first quarter year in the near future. Thank you for attending our conference call.
Operator: Ladies and gentlemen, this does conclude today’s conference. You may all disconnect and have a wonderful day.